Operator: Good morning all. My name is Lydia, and I will be your conference operator today. At this time, I'd like to welcome everyone to Timken's First Quarter Earnings Release Conference Call. [Operator Instructions] Ms. Elmblad, you may begin your conference. 
Meghan Elmblad: Thanks, Lydia, and welcome, everyone, to our first quarter 2024 earnings conference call. This is Meghan Elmblad, Interim Manager of Investor Relations for The Timken Company. We appreciate you joining us today. 
 Before we begin our remarks this morning, I want to point out that we have posted presentation materials on the company's website that we will reference as part of today's review of the quarterly results. You can also access this material through the download feature on the earnings call webcast link. With me today are The Timken Company's President and CEO, Rich Kyle; and Phil Fracassa, our Chief Financial Officer. We will have opening comments this morning from both Rich and Phil before we open up the call for your questions. During the Q&A, I would ask that you please limit your questions to one question and one follow-up at a time to allow everyone a chance to participate. 
 During today's call, you may hear forward-looking statements related to our future financial results, plans and business operations. Our actual results may differ materially from those projected or implied due to a variety of factors, which we describe in greater detail in today's press release and in our reports filed with the SEC, which are available on the timken.com website. We have included reconciliations between non-GAAP financial information and its GAAP equivalent in the press release and presentation materials. 
 Today's call is copyrighted by The Timken Company and without expressed written consent, we prohibit any use, recording or transmission of any portion of the call. 
 With that, I would like to thank you for your interest in The Timken Company, and I will now turn the call over to Rich. 
Richard Kyle: Thanks, Meghan. Good morning, and thank you for joining our call. Timken delivered a solid first quarter with organic revenue in line with the industrial market conditions and strong margin performance. Our results continue to demonstrate the strength and diversity of Timken's portfolio and the successful execution of our strategy. Revenue was down 9% organically from last year's record first quarter, driven by the significant decline in wind energy in China that began mid last year. 
 To frame up the impact of wind, organic revenue would have been down less than 4%, excluding wind. I'll talk more about wind in a moment. While organic revenue increased around 8% sequentially from the fourth quarter. We attribute that to normal seasonality. In aggregate, we didn't see any significant strengthening of markets or orders to start the year. Across that 4%, most other markets were down as the softness that started in the second half of last year continued through the first quarter. Notable exceptions included aerospace, rail services in India, all of which were up from prior year. Including acquisitions and currency, revenue was down less than 6%. 
 First quarter cash flow was seasonably weak, but this will increase through the year, and we remain confident in the cash generation of the business. EBITDA margins of 20.7% were down just 30 basis points from last year despite the organic revenue decline. There were several contributing factors to margins that I'd like to highlight. First, we have made significant progress over the last decade to diversify and steadily improve The Timken portfolio, which continues to result in greater performance in both the top and bottom lines. This includes the 6 acquisitions we completed last year, which contributed positively to the results in the quarter. 
 Second, we are benefiting from our investments in operational excellence and other self-help initiatives. Our Mexico operation is one example. The bearing plant ramped up through last year is now performing well and contributing to year-over-year results. Acquisition synergies are also helping margins. Margins are up at several of our recent acquisitions, including Spinea, American Roller Bearing, and GGB as we have successfully delivered cost synergies across the portfolio. Mix and price are also contributing to margins. We came into the year expecting price to be modestly positive for the full year, less than 1%. 
 We started the year well, and we still expect full year price to be positive. We also expect price cost to be modestly positive for the full year as the pace of inflation, particularly in raw material and logistics has eased. 
 And finally, we've been steadily improving operating performance the last 2 years as we've come out of COVID, supply chain and inflation issues. We sequentially improved each quarter last year, and we continued to improve into the start of 2024. We're operating much better today than we were a year ago. And when I would say that our supply chains are back to pre-COVID levels. 
 We also have great focus on continuing this momentum through our CapEx spend and our operational excellence initiatives. We are also continuing to adjust our cost levels to the realities of the demand. We lowered our headcount by about 8% through the course of last year, and we lowered another 2% during the first quarter. Earnings per share of $1.77 was down 15% from last year's record quarter. $1.77 marks the fourth highest quarter in company history, both the earnings as well as the 20.7% EBITDA margins in the face of a 9% decline in organic volume reflect the strength and diversity of the portfolio, excellent execution and the impact of years of consistent and effective capital allocation. 
 The first quarter was a good start to the year in a challenging market environment. To add more color to the biggest challenge in our markets, I'll expand on our wind energy results. We signaled mid last year that after several years of very strong growth, we saw a significant decline in forward demand. While I won't share the specific figure, our wind revenue was down over 50% in the quarter from last year's record level. The demand situation has stabilized at this level, but we do not see any imminent catalyst to return to growth, and our full year guidance doesn't reflect any improvement in the market through the course of the year. 
 Again, the market appears to have stabilized. We don't expect further erosion in the market and the comps get significantly easier in the third quarter, but we do not expect the remainder of the year to sequentially improve. Longer term, we still believe in the growth of the global wind energy market, the value of our technology in making wind a reliable and cost-effective source of energy, the aftermarket potential of servicing our installed base and our ability to profitably win in the wind market long term. 
 I'd also like to point out that we absorbed a steep decline in wind revenue and the associated cost issues in the first quarter and still delivered 20.7% EBITDA margins. 
 Turning to the rest of the outlook. We are modestly increasing the outlook for the remainder of the year for revenue, margins and earnings per share, but we are continuing to take a cautious outlook on second half revenue. Sequentially, off the first quarter, we're planning for flattish revenue in Q2 and then seasonal declines in the second half of the year. From a year-over-year perspective, the comps get significantly easier in the third and fourth quarters. 
 We will continue to adjust our operating costs and inventory levels down with the revenue. We expect to deliver good margins for the year despite the general market softness and we expect to deliver a step-up in cash flow through the rest of the year. If markets are stronger than we're expecting, we will be able to pivot and capitalize as we've done before. 
 Looking at the longer-term outlook, we remain confident in the growth potential for our portfolio, and we will continue to invest in our growth and margin initiatives. For example, we're advancing our digital capabilities. We completed 2 ERP upgrades in the first quarter and introduce new digital selling tools for distributors. We also recently announced the expansion of our Mexico operation and the consolidation of several smaller manufacturing facilities to optimize our footprint. Six acquisitions completed last year are performing well, and we continue to drive both revenue and cost synergies across all of the recent acquisitions. 
 Our application engineering pipeline remains active as customers continue to invest in their next generation of equipment. Customers turn to Timken as a development partner in advancing and differentiating their equipment designs and as further support of that, Timken was recently recognized as being one of the World's Most Innovative Companies by Fast Company. 
 Additionally, our portfolio is well positioned today to capitalize on several secular growth trends, including infrastructure spend, reshoring, defense, automation and sustainability. We will also continue to create value through strong cash generation and the disciplined allocation of capital to CapEx, the dividend, M&A and share repurchases. Our debt levels are about at the midpoint of our targeted leverage range and when 2024 and '25 cash flow are factored in, we have ample capacity to continue to add value through capital allocation with a bias to M&A. 
 Before I turn it over to Phil, I also want to comment on the upcoming CEO transition. The Board is excited to welcome to Tarak Mehta as Timken's next CEO in September. Tarak brings significant experience in global industrial markets, strong leadership skills and a proven track record of creating value for all stakeholders. He will inherit a market-leading franchise that is both delivering results today and is poised for further growth in the future. He will also assume leadership of an executive team with a proven track record that is supported by 19,000 committed Timken employees around the world. We'll provide more information about Tarak, and the leadership transition as we near September. Until then, we remain focused on delivering for our shareholders through the current market softness, while positioning for a return to growth. 
 We remain committed to achieving the company's long-term financial targets and in scaling Timken as a diversified global industrial leader. Phil? 
Philip Fracassa: Okay. Thanks, Rich, and good morning, everyone. For the financial review, I'm going to start on Slide 10 of the presentation materials, with a summary of our solid first quarter results, which further demonstrate the strength of Timken's business model and earnings power through dynamic environments. We posted revenue of just under $1.2 billion in the quarter, down 5.7% from last year. 
 First quarter adjusted EBITDA margin came in at 20.7%, down only 30 basis points year-over-year. We delivered adjusted earnings per share of $1.77 in the quarter. 
 Turning to Slide 11. Let's take a closer look at our first quarter sales performance. Organically, sales were down 9.2% from last year as continued positive pricing was more than offset by lower demand across multiple sectors, with wind energy experiencing the most significant decline in the quarter. If we exclude the decline in wind energy, our organic revenue would have been down less than 4%. 
 Looking at the rest of the revenue walk. The impact from the 6 acquisitions we completed last year, net of the one divestiture contributed 4 percentage points of growth to the top line while foreign currency translation was a slight negative in the quarter. 
 On the right-hand side of the slide, you can see organic growth by region, which excludes both currency and net acquisition impact. Let me comment briefly on each region. 
 In the Americas, our largest region, we were down 4% against last year's strong first quarter. Most sectors were lower year-over-year, led by off-highway, while services and aerospace were both notably up. In Asia Pacific, we were down 21%, driven by China, which saw the significant decline in wind energy that Rich talked about earlier. This was partially offset by double-digit growth in India, on strong rail and industrial demand. 
 And finally, we were down 9% in EMEA as most sectors were lower, particularly in Western Europe, with off-highway and general industrial posting the largest declines while services was up. 
 Turning to Slide 12. Adjusted EBITDA in the first quarter was $246 million or 20.7% of sales, compared to $266 million or 21% of sales last year. Our strong margin performance reflects positive price/cost and strong execution, which mitigated the impact of lower organic volume in the quarter. Looking at the decrease in adjusted EBITDA dollars, You can see that it was driven by lower volume, offset in large part by favorable price mix, lower material and logistics costs, favorable manufacturing and SG&A and the benefit of acquisitions. 
 Let me comment a little further on some of the key profitability drivers in the quarter. With respect to price mix, net pricing exceeded 100 basis points in the quarter and was positive in both segments. This was in line with our expectations. Mix was also positive as several of our higher-margin businesses outperformed others on the top line in the quarter. 
 Moving to material and logistics costs. Material was lower year-over-year, while logistics was slightly higher due in part to the shipping situation in the Suez Canal. 
 In manufacturing, you can see that we delivered a modest year-over-year benefit in the quarter despite continued labor inflation. This was driven by improved productivity, targeted cost actions, lower utility costs and a favorable inventory change impact. 
 Looking at the SG&A other line. Costs were down from last year, driven by lower incentive compensation accruals and reduced spending to align with the lower demand. This more than offset the impact of continued labor inflation. 
 And finally, on acquisitions, I would point out that acquisitions net of divestitures contributed $13 million of adjusted EBITDA in the quarter or a 26% margin on the net acquisition revenue, as our recent acquisitions performed well on both the top and bottom lines. 
 On Slide 13, you can see that we posted net income of $104 million or $1.46 per diluted share for the first quarter on a GAAP basis compared to $1.67 last year. The current period includes $0.31 of net expense from special items, which is comprised mainly of deal amortization expense. 
 On an adjusted basis, we earned $1.77 per share compared to $2.09 per share last year. 
 Let me touch on some of the below-the-line items, if you will. Interest expense in the first quarter was $7 million higher year-over-year as we expected, while our diluted share count was over 3% lower, reflecting our net buyback activity over the past 12 months. Our adjusted tax rate for the quarter came in at 27%, up from last year, driven by the net unfavorable impact of our geographic mix of earnings and other items. 
 And finally, depreciation expense was up slightly in the quarter versus last year as well as noncontrolling interest. 
 Now let's move to our business segment results, starting with Engineered Bearings on Slide 14. In the first quarter, Engineered Bearing sales were $803 million, down 10.9% from last year. Organically, sales were down 10.3%, driven by lower demand across most sectors, offset by higher pricing. 
 With respect to performance by sector, renewable energy saw the largest decline in the quarter against a difficult comp last year. Other sectors were mixed. Off-highway, distribution and general and heavy industrial were lower, while on the positive side, rail, aerospace and on-highway auto and truck were all up versus last year. 
 Currency was a headwind to revenue of almost 1%, all acquisitions, net of the TWB divestiture was just slightly favorable. 
 Engineered Bearings adjusted EBITDA in the first quarter was $181 million compared to $204 million last year, with margins of 22.6% in both periods. We delivered very strong margin performance in the quarter as favorable price/cost and strong execution fully offset the impact of lower organic volume from a margin perspective. 
 Now let's turn to Industrial Motion on Slide 15. In the first quarter, Industrial Motion segment sales were $388 million, up 7.1% from last year. Organically, sales declined 6.5% as lower demand was partially offset by higher pricing. Most of our platforms were lower year-over-year, with Belts & Chain seeing the largest decline given its exposure to the off-highway market. While services, on the other hand, was notably up on higher MRO, aerospace and other project revenue. 
 Acquisitions contributed over 13% to the top line, while foreign currency translation was relatively flat. Industrial Motion adjusted EBITDA in the first quarter was $82 million, up from $77 million last year, with margins of 21.2% in both periods. Similar to Bearings, we delivered flat segment margins in Industrial Motion as lower organic volume was fully offset by favorable price/cost, improved execution and the benefit of acquisitions from a margin perspective. 
 Turning to Slide 16. You can see that we generated operating cash flow of $49 million in the quarter. And after CapEx, free cash flow was $5 million. This was below last year due to lower earnings, higher working capital, a pension contribution and other items, offset partially by lower cash taxes. The first quarter is typically our seasonally low quarter for free cash flow. We expect cash flow to step up significantly as we move through the rest of the year. And as you'll see later, we are maintaining our free cash flow guidance for the full year. 
 Looking at the balance sheet. We ended the first quarter with net debt of just under $2 billion and net debt to adjusted EBITDA at 2.1x, both relatively unchanged from the end of last year. Our net leverage remains well within our 1.5 to 2.5x targeted range. Speaking of capital allocation, we spent $44 million on CapEx in the quarter, which includes significant footprint expansions in Mexico and India. We also paid our 407th consecutive quarterly dividend, and we continue to integrate the 6 acquisitions we completed in 2023. All are contributing well, reflecting both operating performance and synergy capture. 
 For the rest of 2024, we intend to deploy capital towards acquisitions and/or share buybacks depending on the opportunity set. With our strong balance sheet and free cash flow, Timken remains in a great position to continue to execute our profitable growth strategy through smart and disciplined capital allocation. 
 Now let's turn to our updated outlook for the full year with a summary on Slide 17. Given our first quarter performance and forecast for the rest of the year, we are increasing our outlook for revenue, margins and earnings per share as compared to our initial outlook from back in February. Starting on the sales outlook, we're now planning for full year revenue to be down in the range of 2% to 4% in total versus 2023. This is a net improvement of 50 basis points compared to our previous outlook and reflects a positive change to the organic outlook and a negative change related to foreign currency. 
 There is no change to the outlook for M&A as we still expect last year's acquisitions, net of divestitures, to contribute around 2.5% to the top line for the year. With respect to currency, we're now planning on a headwind to revenue of around 50 basis points for the full year based on current rates, which is down 100 basis points from February. So organically, we now expect revenue to be down 5% at the midpoint. This is up 150 basis points from our prior guidance, reflecting improvement across several industrial sectors, offset partially by a lower outlook for renewable energy in China and a slightly lower outlook for automation in Europe. 
 The organic outlook implies a range of down 4% to 6% for the year. This assumes no recovery or inflection in the second half as we continue to take a relatively cautious view given macro uncertainty and our limited visibility. 
 On the bottom line, we now expect adjusted earnings per share in the range of $6 to $6.30, up $0.15 at the midpoint from our previous outlook. Our revised outlook implies that our full year 2024 consolidated adjusted EBITDA margin will be in the high 18s percent range at the midpoint, still down from last year, but margins are up from our prior guidance on the improved revenue outlook and related mix and expected strong execution. 
 Moving to free cash flow. We are reaffirming our full year outlook of approximately $425 million. This represents over 110% conversion on GAAP net income at the midpoint and an increase of $70 million versus last year. The year-over-year increase reflects improved working capital performance and lower cash taxes, which should more than offset the impact of lower earnings. 
 We are still planning for CapEx at around 4% of sales, with most of the spend targeted at manufacturing footprint expansions in Mexico and India, as well as other growth and operational excellence initiatives. 
 And finally, we anticipate core net interest expense in the range of $105 million and an adjusted tax rate of 27% for the full year. 
 To summarize, Timken delivered solid results in the first quarter, with revenues that modestly exceeded our expectations and strong margin performance. Our team continues to execute well, and we remain focused on driving operational excellence to deliver resilient performance this year, while advancing our profitable growth strategy to benefit 2024 and beyond. This concludes our formal remarks. 
 And we'll now open the line for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Bryan Blair of Oppenheimer. 
Bryan Blair: Solid start to the year, certainly better than many feared. I'd like to start off, if we can, on industrial distribution trends and outlook, just given the needle moving influence of those exposures? And how did the orders stay through Q1 versus typical seasonality? What's the current view of channel inventory relative to demand? And how does that influence Q2 expectations and the potential range of outcomes in the back half. 
Richard Kyle: Yes. I think, I would say, distribution in the markets that maybe played out slightly stronger than we would have expected, but pretty close to in line, a nice step-up from Q4 to Q1, which is pretty normal seasonality and down modestly year-on-year. Inventory in the channel where we have visibility, flattish to down a little bit. So doing what we would hope is generally much less cyclical than the OEM side of it and the MRO side stays stronger, although we do get hit with inventory. So I think played out modestly down would be the way to phrase it, and as you look forward, we're largely looking for that trend to continue through the course of the year. 
Philip Fracassa: Yes. Maybe just a couple of other comments, Bryan. So we did -- on the back of a modestly down performance in Q1, we did take up the outlook for distribution, as you'll note in the market share to relatively neutral for the full year now, and that's again off the back to Q1 and the order book as it exists today, as well as probably, as Rich said, still expecting a little bit of destock, but less than what we were anticipating back in February. So that was certainly a driver of the improved outlook as well. 
Richard Kyle: Yes. And first quarter was the toughest comp and Q2 is also a fairly difficult comp and then the full year comps get easier in the second half. 
Bryan Blair: Understood. Appreciate the color. And then 2023 was obviously an active year for your M&A strategy and clearly quite successful in the margin performance that was cited is impressive. I'm not going to ask for an update on all 6 deals, but it would be great to hear quick updates on integration and performance first deal model for your relatively larger bolt-ons of Nadella, Des-Case and Lagersmit, and as a natural follow-up, how is your team feeling about the current pipeline and the potential to sustain deal momentum this year? 
Richard Kyle: Yes. Maybe I'll split them into 2 groups. There was the heavier integration, which would be ARB into the bearing business, Nadella and Rosa Sistemi into the linear business. So a lot of integration there. You look -- unless a year later, sales teams are fully integrated management teams, largely integrated, margins up significantly in ARB, some of the cost -- a lot of cost improvement with Nadella and a little less with [indiscernible] was later in the year, but -- there as well, but being more offset by the negative impact of volume within that space, but those that had a heavy cost element have gone very well, and I'd say probably ahead of the curve on cost. 
 Those that have more of a revenue play, which will be Lagersmit, Des-Case and iMECH and a little lighter on the operational integration, some market headwinds, but again, diversification of markets, Lagersmit, very different market mix for us with marine OEM as well as aftermarket and had a really good first quarter and Des-Case as well on the revenue side held up. Again, I'll say better than where we serve the large capital equipment markets that tend to be shorter cycle. 
 The second part of the question was outlook. And as I said in my comments, we have a bias to M&A. We certainly have the capacity to do it. We still are primarily focused on somewhere between bolt-ons and tuck-ins. And nothing to report, but an active pipeline. We've completed an acquisition every year, I think, for 14 or 15 years and no reason as we sit here in May that we would think that we wouldn't be able to extend that street, but nothing to commit to at this point. 
Operator: Our next question comes from Steve Barger of KeyBanc. 
Steve Barger: Rich, congratulations. You'll finally have time to explore all that Northeast Ohio has to offer. 
Richard Kyle: Thanks, Steve. I look forward to you hosting me. 
Steve Barger: Anytime. You talked about how the current diversification helped maintain margin despite revenue being down. If we end up in a low growth environment next year, what percentage of the portfolio is facing secular growth drivers like renewable, automation, reshoring or however you define secular? I'm just trying to get a sense of sustainability of revenue in a low growth environment. 
Richard Kyle: Yes. I think I don't have the pie chart in front of me, but modest renewable as of last year was still our largest market, automation, pretty close behind. The infrastructure spend covers a lot of markets in off-highway. And I think I wouldn't say there's enough of a secular trend there to offset the cyclicality as we've seen from our large global off-highway customers. There are -- we are experiencing a down market in that space, but I think they're all very confident on the long-term trend there. 
 And then the dispense side for us typically is not particularly high growth, but holds up really well. It was a really good contributor in 2020 during COVID when the market [indiscernible], I guess that one [ shot ] we had out on the newer markets was north of 30%, I believe, yes, do you have in front of you, Phil. 
Philip Fracassa: Yes, it's about 29%. 
Richard Kyle: 29%. 
Philip Fracassa: Yes, I was just going to add, Steve, just the work we've done to diversify the markets across renewable, automation, industrial services that we talked about marine, food and beverage, passenger rail, the infrastructure activity from a direct and indirect standpoint, quite frankly, the green energy, we feel really -- and not to mention aerospace, which isn't a newer market, but it's certainly a positive momentum market right now, and we think long term will be a really strong market for us. So we do feel like the diversification is improving probably with each deal we do, quite frankly, and is helping us this year and I think will help us next year as well. 
Steve Barger: So just to clarify, if we step back from China wind and just think about the portfolio going forward without trying to predict industrial production, you think you're in a position to outgrow IP. 
Richard Kyle: Yes. It's certainly been our objective would be to outgrow at 100-plus basis points. And I think if you look over from 2016 forward and strip it out to organic, I think we've been pretty close to that. 
Steve Barger: And last one, sitting here basically in May, can you talk about your confidence level that 3Q is up year-over-year on an organic basis? I mean is that basically a lock in your mind given the easier comp and how you see end markets? Or is there a risk that we see flat or down growth in 3Q or the back half? 
Philip Fracassa: Yes. I would say the outlook, Steve, would really be for -- if you look at second quarter, we're likely to be down high single digits again from an organic perspective and then look for revenue to start to flatten out organically in the back half of the year, just given the easier comps in several sectors. 
 So we're not going to probably sit here today and say we're going to be up or still down in Q3, but I think the general trend would be of our negative 5% organic for the full year, kind of very much first half weighted, down high single digits in the first half and then flattening out or maybe up a little bit overall in the second half. But I probably won't comment on Q3 specifically at this point, but that's kind of what we're planning on. 
Operator: Our next question comes from Angel Castillo of Morgan Stanley. 
Unknown Analyst: This is [ Grace ] on for Angel. I think on Slide 6, you changed your outlook for a number of end markets. So heavy industries were down from high single digits to down mid-single digit and automation from neutral to down mid-single digits. So can you help us unpack that more like what are the underlying drivers that those things might be? 
Philip Fracassa: Sure. With respect -- thanks for the question. With respect to heavy industries, we were down just modestly in Q1. And we did continue to see pretty good project spending in Q1 in markets like metals and oil and gas. And so given the first quarter performance and probably a slightly improved outlook for the rest of the year, we did move it from down high to down mid. Keep in mind, heavy industries tend to be late cycle. So then as we stand right now, we do see backlog coming down there. So we're not anticipating an inflection there for the rest of the year. So we'd still expect it to be down for the full year, kind of more or less in line with what it was down in Q1. 
 Relative to automation, I would say a very slight move there, just a couple of hundred basis points just enough for it to move from one column to the other, and that was mainly driven off of Western Europe. A big chunk of the business that we have in automation is serving Western European OEMs. And the situation in Western Europe remains pretty soft, pretty weak overall. So we took it down just slightly, but the main drivers to the 150 basis points of improvement were probably on the positive side, the industrial markets with distribution moving over, aerospace moving over, rail services  and then probably the biggest negative would have been renewable energy. It was on the far left to begin with, but it moved even further left, if you will, just given the lower outlook we have for wind today versus back in February. 
Richard Kyle: And then industrial distribution moved up a little bit, and we talked about that one earlier. 
Unknown Analyst: Yes. That's very helpful. And also on free cash flow, I think you raised the earnings outlook, but why free cash flow was kept unchanged? 
Philip Fracassa: Yes. I think it was just really a view on our part, let's hold the guide typically when we don't take -- we took the outlook up on slightly higher revenue. And as you know, slightly higher revenue carries with it a little bit higher working capital, you may have slightly higher receivables or may need to take out a little less inventory as a result. So it was really more of the puts and takes of the sales, working capital dynamic. And so while we talk about roughly $425 million, a range plus or minus and just felt very confident holding it, like I said, the first quarter was seasonally low, but would expect a meaningful step up Q1 to Q2, frankly, and then a nice improvement even in the back half of the year. 
 And at that level, north of 100% of GAAP net income -- actually north of 110% of GAAP net income, which is what we would typically target at this type of market environment. 
Operator: [Operator Instructions] Our next question comes from Chris Dankert of Loop Capital. 
Christopher Dankert: I guess, really nice start to the year here on the SG&A front. Maybe you could just kind of go into a little bit more detail what leverage you kind of pulled there, what is still available to you? And maybe just any kind of comments on what we should be expecting for SG&A as we go forward here on a quarterly basis? 
Richard Kyle: Yes, I'd say certainly some self-help there from a year ago or so starting to capture some attrition, and we really outside of targeted things haven't done any significant reduction. But then on the targeted areas, again, I would say, acquisition integration, our multiyear digital campaign continues to yield benefits of us getting more efficient, taking out overhead, reducing complexity, reducing the number of systems that we have, et cetera. 
 So I would say the combination of those 2 partially offset generally the Industrial Motion segment and most of the acquisitions we look at run a higher SG&A level structurally than the bearings business. So we've generally been mixing towards a higher SG&A, higher gross margin as well structure, but we've done a pretty good job the last year more than offsetting that. 
Christopher Dankert: Got it. And then again, similarly on gross margin, obviously, mix played a pretty huge driver from the outperformance perspective there. But just any comments on how to think about gross margin in 2Q, I assume, given that we're still seeing some volume declines that should be down year-over-year just given some of that mix fall off? 
Richard Kyle: Yes. Certainly, from -- as I said, we're looking for revenue to be flattish Q1 to Q2, and we built a little bit of inventory in Q1, and we'd be looking to hold or lower inventory in Q2 and then lower inventory through -- certainly through the course of the year, it takes some inventory out. So from a pure volume standpoint, Q1 and our guide would have been the peak for the year. 
 I think the other thing as you look at the gross margins, and I mentioned this in my comments, starting back in early '20 through at least the first part of '22, very difficult operating conditions from the early days of COVID to a lot of supply chain challenges and a lot of labor challenges, both from COVID and tight labor markets. We've been getting steadily better through all of last year and then into this quarter. 
 The downside of that is our cost comps actually get tougher as the year goes on because we were better in the fourth quarter of last year than we were in the first quarter of last year, but we're still advancing. So I think the pace probably levels off a little bit, but we've got a really good focus on it. So we've got some of that built in. But most of it would be a volume story -- seasonality. 
Philip Fracassa: Yes. And the only other thing I'd mention on gross margins, Chris, would be, the acquisitions will tend to mix us up from a gross margin standpoint. So we'll have some nice acquisition benefit again in Q2, which typically mixes us up from a gross margin standpoint. Those businesses tend to be a little more fragmented. They may run a little higher SG&A because they're fragmented, but still accretive on the EBITDA line. But everything else, Rich said, I would agree with. 
 And then as he said, relative to Q2, we would expect sales flattish sequentially. That would imply down all in mid- to high single digits. Organic would be down high single digits on the top line. And then margins and EPS would be expected to be down year-over-year just on the revenue decline and the other factors, Rich talked about, relative to inventory and other things. 
Operator: There are no remaining questions at this time. So I'll turn the call back to Ms. Meghan Elmblad for any closing remarks. 
Meghan Elmblad: Thanks, Lydia, and thank you, everyone, for joining us today. If you have any further questions after today's call, please contact me. Thank you, and this concludes our call. 
Operator: Thank you for participating in Timken's First Quarter Earnings Release Conference Call. You may now disconnect.